Operator: Thank you all for standing by and welcome to the Q3 quarterly update. [Operator Instructions] I'd now like to hand the conference over to your first speaker, Mr. Shaun Verner. Thank you. Please go ahead.
Shaun Verner: Good morning, everyone, and thank you for dialing in today. With me on the call is; Stephen Wells, our Chief Financial Officer. Today, we'll work through the September quarterly presentation release, along with our quarterly report covering operations, projects, market conditions and the outlook for natural graphite, active anode material and its end-use markets. Starting on Slide 3, we're strongly encouraged by EV and battery anode market conditions, which have improved materially through 2021 year-to-date, along with operational progress that Q3 has seen with Balama's transition to sustainable operations and product, projects and customer developments in Vidalia with regard to active anode material. The underlying thematic of electrification in the transport sector by lithium-ion battery, EVs is clear with industry transforming capital being committed and invested by both OEMs and battery makers, increasing customer demand and strongly supported government policy developing across key consumer regions. Syrah's long-term value proposition is fundamentally underpinned by the accelerating electrification of the global transport fleet; graphite mining maintaining its high intensity in use in lithium-ion batteries, which is a primary battery technology for EVs for the foreseeable future; Balama being the world's largest integrated natural graphite operation; and our downstream strategy to become a large-scale producer of value-added active anode material products for the battery supply chain. Electrification of the transport sector is accelerating with substantial capacity commitments and investment from auto OEMs and battery makers being made in rapid succession, particularly in the US. We're seeing urgency from policymakers and the supply chain to facilitate the transition to EVs. And this is finally translating to moves in the anode material market to secure longer-term strategic supply. Graphite status as a strategic critical raw material has been reaffirmed through updated analysis by key governments as is expected to remain the primary anode material in lithium-ion batteries. And the anode technology that our industry actions -- industry interactions confirmed is planned for the vast majority of the expansions being planned. Balama is the best global natural graphite resource on many parameters. With capital invested, our operations, sales and logistics infrastructure well established and ramped up again, but with strong opportunity for greater production and cost efficiencies as volumes increase and integration into Syrah's downstream production is executed. As demand has grown significantly through the course of 2021, Balama's criticality to the current and future sustainable supply of natural graphite in the battery supply chain has become more and more apparent. We continue to make very strong progress towards becoming a major producer of natural graphite active anode material in the US with the potential to supply both domestically and to satisfy a portion of European export markets. We believe our operation in Vidalia is the most viable and progressed alternative for customers who have outside Asia for large-scale, localized and ESG-verifiable natural graphite active anode material supply. This progress, which we'll talk about further today, and Vidalia's vertical integration with Balama, provide a compelling strategic value proposition to auto OEMs, battery manufacturers and governments. Now market and government interactions have accelerated markedly since the production of integrated products from Vidalia and have continued to demonstrate strong focus on environmental, social and government factors. Slide 4, emphasizes our clear ESG credentials, which we provide significant detail on in the quarterly sustainability update released alongside this report on the Syrah's website today. The work Syrah has undertaken in Mozambique over the past seven years and an ever-increasing focus in Vidalia differentiate us from many incumbent players. And the hard work visible in our demonstrated operating performance today is auditable compared to the blue-sky commitments of potential projects, which might appear simple on paper but may face a long, hard road to implement. Moving now to slide 5, which provides some key points on Syrah's third quarter. Our health, safety and environment performance remains outstanding. Our TRIFR at Balama was zero in the September quarter and was achieved with continued rehiring and greater number of contractors on the site. Balama's TRIFR has remained below one since late 2018, and our TRIFR at Vidalia was also zero in the September quarter. We recorded a number of positive COVID-19 cases at Balama through this quarter. All were fully recovered by quarter end. And Syrah has robust COVID-19 protocols in place. And pleasingly, these allowed us to effectively manage at Balama without interruption to contain transmission both on-site and in the impact in the community. EV end-user demand growth, the most important leading indicator for Syrah, continued to flourish in Q3, with forecast EV sales in 2021 now approaching 6 million units. Battery capacity commitments and strategic alignment in the supply chain are accelerating to keep up with significant growth in predicted EV demand and electrification strategies being announced by the auto OEMs. At Balama, we were pleased with performance through the quarter despite container shipping disruptions impacting sales and limiting production. Importantly, the September month operational performance was excellent and clearly demonstrated our capability to operate sustainably. 15,000 tonnes was produced at 85% recovery and $430 a tonne C1 costs, the low end of our target range at 15,000 tonnes per month. During the September quarter overall, shipping disruptions constrained our ability to match production with underlying customer demand. Balama produced 25,000 tonnes of natural graphite, and C1 cash costs were much higher at $684 a tonne at an average production rate of approximately 8,000 tonnes per month. We drive toward our target unit cost position through increases in production volumes and other improvement initiatives that continue to be embedded as we've demonstrated in September. We sold and shipped 18,000 tonnes of natural graphite and 12,000 tonnes rolling into the December quarter due to shipping schedule changes. Disruption across the global line of shipping industry continues to impact our ability to supply the volumes being demanded by our customers, but we are working through solutions to current challenges and expect improvements from this quarter onwards. Our weighted average basket price, the sales increased to US$490 per tonne CIF with further strengthening of prices evident post the end of the quarter. At Vidalia, we're making very good commercial progress with target customers, and we're engaged with a number of these customers on multiyear purchase commitments for Vidalia active anode material. Qualification testing is continuing with more than 10 target customers, and we are receiving excellent iterative technical feedback for our active anode material from our operation at Vidalia. Detailed engineering and procurement on the Vidalia's initial expansion with Worley Group is progressing well. We are completing an updated appraisal of capital costs prior to moving to a final investment decision. Target customer interest and ex-China battery market growth is driving consideration of accelerated expansion options at Vidalia of beyond initial 10,000 tonnes production capacity. The BFS we released last year showed the relevant cost economies of scaling active anode material production at Vidalia. We're advancing the key Vidalia work streams across operations, customer qualification and offtake, product development, expansion, engineering and procurement and financing to position for a final investment decision on the 10,000-tonne active anode material facility in this December 2021 quarter, subject to required progress in the customer and funding streams. And I'll now pass over to Steve to talk through our balance sheet position and some information on the market.
Stephen Wells: Thank you, Shaun, and good morning, everybody. Syrah ended the quarter with a cash balance of US$74 million. Syrah's cash outflow for the quarter was $11 million, slightly less than the second quarter and included working capital associated with Balama, which, due to shipping-related challenges Shaun has alluded to, didn't operate at the optimum capacity through the quarter, although the capability is clearly in place. Also, as with prior quarters, we continue to invest in the expansion project of Vidalia with detailed engineering and ongoing payments for certain modeling items to facilitate the transition to construction from an FID in the fourth quarter. We expect cash outflows in Q4 to be higher than Q3, depending on shipping, but also given certain seasonal factors at Balama, as well as further investment at Vidalia. We are comfortable with the liquidity position of the company and the ability to fund Balama's ramp-up under a range of natural graphite and container shipping market scenarios, as well as project-related costs at Vidalia through to FID. Our objective is to secure new funding for the construction costs beyond the FID for Vidalia's expansion. Turning now to slide six. Slide six shows our primary leading indicator, which is global electric vehicle sales. Strong positive momentum in EV sales continued through Q3, with global EV sales growing 111% quarter-on-quarter in Q3 2021 to over 1.6 million units, compared to less than 800,000 units in the third quarter of 2020 and less than 500,000 units in the third quarter of the preceding years. Sales growth is evident across consumer geographies, including China, Europe and the USA. Globally, these sales are expected to reach almost six million units in 2021, which would represent double 2020 volumes, albeit COVID impacted and only marginally higher than 2019 at an almost 40% annual growth rate over the last five years. The increase in EV sales continues to drive increasing demand for anode material, while upstream raw material demand led both EV demand and active anode material production growth. However, we are seeing, for example, Chinese monthly active anode material production increasing further and achieving 60,000 tonnes in September, significantly higher than the same quarter last year. Further anode capacity additions are currently proposed in China, and ongoing anode precursor imports into South Korea from China, with further potential growth plans to support the major South Korean battery manufacturers. Downstream EV demand is continuing to work through the supply chain and positively affect the upstream markets. And we are certainly seeing strong demand and price increases in the natural graphite fines market, particularly given challenges through the Chinese domestic production-high season. I'll now pass you back to Shaun.
Shaun Verner: Thanks, Steve. Moving on to slide seven and some updated views on growth. To underpin the transformational electrification strategies underway, auto OEMs are accelerating efforts to develop US EV manufacturing bases. Auto OEMs are entering into JVs and partnerships with incumbent global battery manufacturers for exclusive supply in these plants. The pipeline of battery capacity has increased materially in the space of 12 months, particularly in the US and European markets. Significant localized supply of anode materials will be required, particularly in the US. And the 10,000-tonne plant and 40,000-tonne plant capacity at Vidalia would be equal to only 3% and 12%, respectively, of the anode material required for US-based battery capacity by 2025. And given we're seeing stronger and stronger commercial interaction around securing that future supply it's a critical time to be clear about our anode material strategy. On slide 8, Stellantis, Ford and Toyota have announced multibillion-dollar commitments to establishing substantial battery manufacturing capacity in the US by the middle of this decade, in partnership with incumbent producers. This is in addition to the already significant announced investment plans of Ford, GM and Tesla with the last 12 months seeing a huge increase in US and global announced capacity plans. Vidalia is very well placed to supply into this fast-growing market. And our target customers are certainly demonstrating interest in greater volumes from Vidalia than our initial plans to meet this overall demand. On slide 9, as we've previously communicated, we've taken a very considered approach and lead time committed to establishing Syrah's first manufacturing base and product in the US. A 10,000 tonne active anode material project at Vidalia is the first planned expansion, and we're aiming to take a final investment decision on this shortly to deliver first production from mid to late 2023. Customer interest and market evolution has certainly encouraged us to consider expansion beyond 10,000 tonnes of capacity. And we're assessing the ability to accelerate the next stage of expansion to serve both the US and potentially European export markets. At the same time, leverage of the Balama upstream position through relationships in Asia is being pursued to provide an additional arm of supply through toll processing opportunities. Later stages of the downstream strategy include further expansion of Vidalia for additional products, potential technology partnerships with incumbent producers and exploring development for the second facility in Europe. Given the required pace of capacity additions, we've been clear on the consideration of potential partnerships for continued expansion. Fundamentally, scaling up of Syrah's downstream business is underpinned by Balama and its resource. And the opportunity to consume a significant amount of current design capacity internally over time and expand Balama to supply third-party customers will be a critical factor in the overall global natural graphite market supply/demand balance. Moving on to slide 10 to provide some more detail on Balama during the third quarter. Operational performance for the month of September was excellent with over 15,000 tonnes of production achieved at 85% recovery in C1 cash costs FOB Nacala at US$430 a tonne, which, as we said, is at the low end of the target range for Balama's restructured cost base at this production level. Balama cash costs are expected to reduce further as run rate production increases above 15,000 tonnes per month and as improvement initiatives continue to be embedded. September performance clearly demonstrated the capability for Balama to operate sustainably at our minimum target production rate. Across the quarter, however, Balama production was significantly constrained by disruption in the global container shipping market with continued restricted vessel capacity, port delays and low container availability. Syrah produced 25,000 tonnes of natural graphite with plant recovery at 82% for the quarter. And C1 unit cash costs on the lower volume were higher than last quarter at $684 a tonne due to that lower production. Product quality for the quarter was superior to our best performance reported during the last ongoing runs in late 2019 with strong control over the grade and recovery trade-offs. We will continue to be disciplined in Balama's production plan by considering natural graphite market demand and leading indicators in conjunction with the shipping market. Balama's labor contingent is now more than 95% of the planned workforce following the restart decision in February this year, which will be around 10% lower than when production was suspended in 2020 on an ongoing basis. 46% of our labor continue to work from our host communities and 18% of female with 96% overall Mozambican nationals. During the quarter, as we mentioned earlier, we recorded a number of positive COVID-19 cases at Balama. All the cases presented with mild or no symptoms and recovered quickly, and there were no active cases by quarter end. Balama's operations were not affected by the controls that the company implemented to contain any further transmission. The company also launched a COVID-19 vaccination program in conjunction with the local government during the quarter to boost vaccination rates in the Balama workforce and the local community with good take-up being recorded thus far. Slide 11 shows operational performance of Balama this quarter versus historical quarters before Balama production was suspended. Again, Balama has delivered good product quality and excellent recoveries this quarter relative to prior performance. Moving to slide 12. Natural graphite sales and shipments for the quarter were 18,000 tonnes. And practically, all of 25,000 tonnes of finished product inventory was also contracted to customers. As we announced in September, 12,000 tonnes of natural graphite sales planned to ship from Nacala late in the month was delayed to the following quarter due to a schedule change. Natural graphite sales, obviously, would have been 30,000 tonnes in the third quarter if it wasn't for that delay. Syrah's experiencing the strongest demand for Balama's high-quality products since production commenced in 2017. Robust forward contracting with end-user customers is underpinning more than 50,000 tonnes of natural graphite sales orders for the December 2021 quarter, and further sales well into 2022 with a strong forward demand evident. Disruption in the global container shipping market prevented us matching sales to underlying customer demand in Q3, and forced us to withhold production at Balama given our inventory-carrying position. Issues in China. Natural graphite supply are affecting the restocking of inventory prior to China's winter production outage, which is almost upon us, and in conjunction with global shipping challenges availability of product is reducing globally. Production and quality from processing facilities in Heilongjiang Province in China have also been impacted by power cuts. And all of these factors are driving increased demand and providing strong price support for imported graphite into China. We expect shipping disruption to moderate through this quarter and the first quarter of next year, with additional vessel capacity in container equipment for East Africa being added, and this is informed by a very frequent interaction with our service providers. Efforts to secure increased shipping and container capacity to meet customer orders for the December 2021 quarter are continuing, but we expect constraint to continue during this quarter. We're also reviewing alternative options, including break bulk shipments. The weighted average sales price of natural graphite for the quarter increased to US$490 per tonne. Syrah's primary sales focus continues to be increasing fines shipments to the battery supply chain in China with this accounting for approximately 86% of overall product sales. Fines pricing increased through the latter part of the quarter, even with seasonal Chinese fines production being at its peak. And coarse flake prices remained strong and stable in the ex-China markets, with China prices increasing significantly during the quarter due to strong industrial sector demand. Fines pricing has continued to increase on a constrained supply post the end of the quarter. Syrah is seeing higher volumes with contracting interest at higher prices and over longer tenor, demonstrating buyer confidence in forward electric vehicle and active anode material demand expectations and concern over supply. Slides 14 and 15 outline the progress that we're making at Vidalia with operations and our planned expansion to 10,000 tonnes of production capacity. Considerable progress was made across varied fronts at Vidalia during the quarter. Critically, for Syrah's downstream strategy in the US, as I previously outlined, the pace of commitments to localized battery manufacturing has accelerated markedly in the last few months with leading auto OEMs positioning themselves to create large-scale EV supply chains in the medium-term to deliver their electrification strategies and against their EV sales targets. OEMs in the US are forming JVs with proven and large-scale EV battery suppliers to derisk execution. Supportive government policy calibrated with the private sector's EV targets is being developed as well. We're engaged with more than 10 battery supply chain participants in auto OEM potential customers on qualification, and iterative testing programs are underway with key target customers. Syrah continues to receive positive technical feedback on its integrated active anode material products. Electrochemical performance, processability and half cell data has supported continued testing through various stages of full cell analysis. Full cell results have been positive across various characteristics and, in some cases outperforming benchmark materials. Syrah's in commercial discussions with seven target customers. Technical and commercial engagement with target customers is underpinned by our existing market position upstream, continued active anode material qualification product delivery and development and Vidalia being an advanced US based supply alternative to Asia with strong ESG credentials. Negotiation for significant multi-year purchase commitments continues. Turning to slide 15. During the quarter, we continued to produce active anode material from our integrated spherical purification and furnace operations at Vidalia. Operations at Vidalia were briefly suspended during Hurricane Ida. However, there was no other impact from the weather event.  We advanced detailed engineering and procurement for Vidalia's expansion with Worley Group and with six months of work now completed on that front. And as part of detailed engineering and considering the cost inflation pressures globally, we are completing an updated appraisal of capital costs prior to making the final investment decision on the 10,000-tonne per annum facility. Pleasingly, our engagement with target customers as well as the rapid growth forecast for EV battery manufacturing in North America, has highlighted the volume of product demanded from Vidalia by 2025 will obviously significantly exceed 10,000 tonnes per annum production capacity. Accordingly, we are considering acceleration of further expansion at Vidalia. The Bankable Feasibility Study last year assessed that this yielded economies of scale in operating capital costs. Expansion of Vidalia to a scale beyond 10,000 tonnes per annum is underpinned by Balama, which is, if itself, as markets continue to develop, could be expanded from its current design capacity of 350,000 tonnes given its large resource. Ultimately, we will expand capacity in a considered manner and subject to customer commitments. We remain committed to advancing the various work streams at Vidalia to enable making an FID, on constructing a 10,000-tonne facility during this quarter, subject to those customer and financing commitments. Slides 16 through to 20 provide further detail on Vidalia and the good progress we've made. Steps here -- steps from here are contingent on customer commitments being completed for FID and funding. So finally, on to slide 21, the company's market reentry has been supported by constructive upstream natural graphite market conditions. Balama has demonstrated it can produce sustainably at the levels required. However, the ramp-up has been significantly hampered by shipping market disruption which has taken longer than anticipated to abate. We expect that this disruption will moderate over the next two quarters, allowing us to fulfill an increasingly high level against strong demand to ramp up Balama production and to reach positive operational cash flow. The multiple work streams being advanced at Vidalia, positions Syrah to become a key ex-China sustainable supplier of quality natural graphite AAM products and a major supplier in the U.S., enabled and differentiated by vertical integration with Balama. We remain positive about momentum for the period ahead. Our planned objectives in this quarter are to increase Balama's plant utilization and production, in line with market demand and forward contracting. And to mitigate shipping constraints to facilitate moving to 15,000 tonnes production and beyond as soon as possible to finalize customer and financing commitments to underpin FID for the construction of a 10,000-tonne facility at Vidalia to continue to advance detailed engineering and procurement. For Vidalia's expansion and transition to the construction phase subject to that FID and to maintain a liquidity position to preserve flexibility in Balama's ramp-up and advance Vidalia to and through that FID. And with that, we'll move to any questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Glyn Lawcock from Barrenjoey. Please go ahead.
Glyn Lawcock: Good morning, Shaun. Maybe just a couple of questions around Vidalia first, could you help me understand some of the economics that came up on the Bankable Feasibility Study you did? I mean, I know you said you're revising CapEx. So could you just maybe remind me on the economics of the project? And then, I think you said in your presentation, you wouldn't look for partnership. So just I'm trying to understand your -- how you're thinking about funding, first one, if you're not looking at, say, maybe partnerships on the first 10,000 tonnes. And then, sorry, just a third question, if I could. Just if you could make any comments -- you talked a little about China and the natural graphite market. What are you seeing in terms of synthetic given what's happened with energy prices, oil prices? And any comments you can make around inventory? Because, while car sales have been strong, it looks like they're now rolling over because of chip shortages. So I'm just wondering if that backs up the supply chain a little bit, and how that might impact on the inventory and eventually you guys. Thanks.
Shaun Verner: Sure. Thanks, Glyn. Let me take the second question first. The synthetic or artificial graphite supply chain in China has certainly been impacted by power restrictions, power cuts and increases to power prices. And we've heard a significant price rise in -- or cost increase through the price rise in graphitization costs for producers in Mongolia, in particular. And that is certainly putting pressure on that market, restricting both supply and increasing prices. So in terms of inventory of that material, certainly, the feedback we hear is that, that's becoming very strained, rather than a reduction in vehicle production feeding back and increasing inventories. I think, on that point, one of the things that we have seen is that, a lot of the impact of chip shortage that's being discussed seems to be hitting ICE vehicles. And whether it's a preference decision that auto makers are making or not, I'm not sure. But the EV production seems to be being prioritized and does not seem to be impacted as much. And certainly, the growth figures that we're seeing in production and sales on the EV side are indicative of a very strong growth position and ongoing focus on that area. Coming back to Vidalia, I would also, before talking about this, just highlight that, as I mentioned during the course of the discussion, that we are undertaking a reappraisal of capital costs, given the inflationary pressures we're seeing in the U.S. and globally. But in terms of CapEx, for 10,000 tonnes, the BFS showed $138 million; and for a 40,000-tonne facility, US$477 million. And OpEx was around $3,150 for a 10,000-tonne facility and around $2,900 for a 40,000-tonne facility. So current market price is observable in China, and of course, landed costs in the U.S. will differ from that, around $5,400 a tonne. So that's sort of the high-level numbers that we were seeing at the time of the BFS. We've obviously continued to evolve our plans. We're looking at the CapEx and OpEx at the moment. But, obviously, that will feed into any FID that we take.
Glyn Lawcock: And funding of it, Shaun? Just how you can get that if you're not going to bring a partner into phase one?
Shaun Verner: Yes. I mean, we've been clear from the outset, Glyn, that we see the funding of this phase being done through a combination of equity and debt. We have continued to progress debt-funding streams, and that work is ongoing. And we're confident that the appropriate funding can be arranged for this first phase to enable us to move ahead full ownership down the track. I think what we see is that the pace of expansion that is being -- that will be required is such that it may be more efficient to look at partnering through that process. And that's certainly what you're seeing further downstream in the supply chain with incumbent players making those partnership decisions.
Glyn Lawcock: Okay. That’s great. Thanks Shaun.
Shaun Verner: Thanks.
Operator: [Operator Instructions] Our next question comes from Hamid Corser [ph], who's a retail investor. Please go ahead.
Unidentified Analyst: Good morning, Shaun. Thanks for all the update. I think it's been great and moving in the right direction. So good to see that happening. Just a quick one on Vidalia's plan update. I just want to understand a little bit more around -- I know customer interaction was a bit sensitive. But just hoping to see -- just to get your thoughts on when we are hoping to get something out of that interaction and when should we expect some news around that.
Shaun Verner: Thanks, Harley. I think you're absolutely right. It is a very sensitive aspect of our progress. And clearly, all of our customer interactions and testing and qualification interactions are carried out under NDA, with a high degree of confidentiality around them. I guess the most important thing I can say is that at this stage, we, as we've said through the course of today, are still planning to take an FID in this quarter. And as we've been very clear all the way through, that we will only take a final investment decision with the appropriate customer underpinning in place. So that is a pre-requirement to us taking a final investment decision. So that's really all I can say on the time.
Unidentified Analyst: All right. Thank you.
Operator: Our next question comes from Andrew Harrington at Petra Capital. Please go ahead.
Andrew Harrington: Thank you. Good morning, gents. You've stated that you expect -- you've got 50,000 tons of sales for the December quarter, but shipping is probably still an issue. Are you -- do you expect to be able to sell 50,000 in this three-month period? And what can you do to improve the container shipping availability to Nacala?
Shaun Verner: Thanks, Andrew. So we expect that, that 50,000 tons will be constrained to some extent by shipping availability. It really is a moving piece. And we wouldn't want to try to put a number on that at this point, this early in the quarter. But the constraints are still there. I mean the global shipping industry is in disarray from a liner shipping perspective. You've got something like 600 vessels currently delayed at ports across the world. It's around 12.5% of the global fleet, container fleet. And the sort of delays we're seeing at the moment is the equivalent of one of the top five container lines seeking business altogether. So it really is a global challenge. It took a long time for that, I think, to trickle down into some of the smaller markets such as we have from Nacala. Our service providers are three major global shipping lines, CMA CGM, MSC and PIL. And we are literally working with those providers day-in, day-out on schedule updates, container availability and bookings on those vessels. I think it's fair to say that even the regional teams in some of the shipping lines are frustrated by changes that are being made from the head office level in terms of putting capacity, both containers and vessels, into the ex-Asia trades into the US and Europe at the moment where rates are absolutely astonishing. We're seeing historical container rates from China into the US might have been $1,800 a container, and in some cases, they're up around $20,000 a container now. So, that's causing a lot of dislocation of equipment and vessels. And all we can do is continue to work with our service providers. We are the largest container exporter from Mozambique. And obviously, those service providers are very focused on the long-term development of relationship with Syrah and trying to service us through this period. I would say that we're starting to see vessels added into the services. We're starting to see some improvement in equipment availability. And one of the separate challenges that we've had in this market is, it has been the agricultural export high season from Mozambique over prior months, and that is coming to an end at the moment. We should see additional capacity freed up and available to us. So, I know none of those things give certainty either around this quarter or the future, but things are starting to move in the right direction, and certainly, seasonal factors will be in our favor from Q1 next year.
Andrew Harrington: Okay. Thank you. A follow-on question. So, what is the sort of cost per ton impact for you, or what do you -- how -- if containers go from $800 to $20,000, what does that mean to you in terms of a number or how does it trickle to you?
Shaun Verner: Yes. So, historically, our weighted average freight cost out of Nacala has been around $50 a ton and that's across all markets. That has increased substantially. It hasn't doubled, but it's getting close to that level. However, the key is a lot of those increases on a per ton basis are surcharges rather than underlying rate increases that are based around congestion and disruption. So, expect that those surcharges, as equipment availability and vessel availability come, should improve fairly rapidly. The other really important thing to note here is that this industry historically, and I've been involved in the container shipping industry for nearly 30 years, is absolutely a mean-reversion market. It sees the very worst of capacity additions when things are not needed and underservicing when they are. And we fully expect that we'll see a reversion to the sorts of rates we've had which were consistent over the five years prior to this period. So, it will take some time, but we're certainly seeing a cost impact at the moment.
Andrew Harrington: Thank you very much Shaun.
Operator: [Operator Instructions] Our next question comes from Mark Fichera from Foster Stockbroking. Please go ahead.
Mark Fichera: Yes, hi Shaun. Just a couple of questions. Firstly, on the unit cost, obviously, September you did well. I was just wondering -- and you've mentioned also that if you increase production above that 15,000 ton rate that you can get your costs down further. If you were just to maintain that 15,000 ton rate, can your costs still come down? Are there any other sort of initiatives besides the scale aspect where you can get those costs down?
Shaun Verner: Yes. Thanks Mark. Obviously, continuing improvements in recovery are key to cost. We've made a really significant improvement in that from our last operating period through to more recent months. So, we continue to be able to increase recoveries from 85%, up towards 90%, et cetera. There's probably another $20 a ton there. In the slightly longer term, we have the solar project, solar and battery project, that we are looking at as well, which will have a further reduction. But I think the more important point at the moment for us, Mark, is that the demand growth is such that it would be an unusual situation if we continue to see the levels of year-on-year growth that we've seen over the last 12 months and we didn't see natural graphite demand come along with it. And as I said earlier, we are seeing the strongest demand that we have seen since we came into production. And yes, some of that in the very short-term is driven by disruptions. But the vast majority of it is being driven by capacity utilization from anode material makers looking for high-quality input products.
Mark Fichera: Right. And just my second question is on the -- you mentioned about the qualification results outperforming benchmarks. Just on those benchmarks, are they purely against other natural graphite anode materials, or are you also being benchmarked against some synthetics? And are you outperforming those as well on some or all of the characteristics?
Shaun Verner: No, this is comparison against natural graphite active anode material product. So we set out with Vidalia to produce a drop-in substitute product at 16-micron coated material. And obviously, the benchmark against, which that is being tested, is other like-for-like products. We continue, of course, to see blending of multiple products, both natural and artificial graphite, in most anode formulations, and we expect that to continue. So our clear focus at the moment is making sure that our product performs as a current producing substitute product would. And where we can outperform those in certain parameters, we're obviously trying to maximize benefits around that.
Mark Fichera: Okay. Thanks.
Shaun Verner: Thanks, Mark
Operator: We have no further questions, so I will hand back for final comments. Thank you.
Shaun Verner: Excellent. Thanks, everyone, for the participation today, and we look forward to continuing momentum both in the markets and our progress over the coming quarter. And we look forward to further discussion in due course. Thank you.
Operator: Thank you so much. This does conclude our conference today. Thank you all for joining. You may now disconnect.